Operator: Good day, and thank you for standing by. Welcome to The Pennant Group Fourth Quarter Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would like to turn the call over now to Kirk Cheney. Please go ahead.
Kirk Cheney: Thank you, Lisa. Welcome, everyone, and thank you for joining us today. Here with me today, I have Brent Guerisoli, our CEO; John Gochnour, our President and COO; and Lynette Walbom, our CFO. Before we begin, I have a few housekeeping matters. We filed our earnings press release and 10-K this morning. These are available on the Investor Relations section of our website at www.pennantgroup.com. A replay of this call will also be available on our website until 5:00 p.m. Mountain Time on February 26, 2027. We want to remind anyone who may be listening to a replay of this call that all statements are made as of today, February 26, 2026, and these statements will not be updated after today's call. Any forward-looking statements made today are based on management's current expectations, assumptions and beliefs about our business and the environment in which we operate. These statements are subject to risks and uncertainties that could cause our actual results to materially differ from those expressed or implied on today's call. Listeners should not place undue reliance on forward-looking statements and are encouraged to review our SEC filings for a more complete discussion of factors that could impact our results. Except as required by federal securities laws, Pennant and its affiliates do not undertake to publicly update or revise any forward-looking statements where changes arise from new information, future events or any other reason. In addition, The Pennant Group, Inc. is a holding company with no direct operating assets, employees or revenues. Certain of our independent subsidiaries, collectively referred to as the service center, provide administrative and other services to the operating subsidiaries through contractual relationships with those subsidiaries. The words Pennant, company, we, our and us refer to The Pennant Group, Inc. and its consolidated subsidiaries. All of our operating subsidiaries and the service center are operated by separate independent companies that have their own management, employees and assets. References herein to the consolidated company and its assets and activities as well as the use of the terms we, us, our and similar terms do not imply that The Pennant Group, Inc. has direct operating assets, employees or revenue or that any of the subsidiaries are operated by The Pennant Group. We supplement our GAAP reporting with non-GAAP metrics. When viewed together with our GAAP results, we believe that these measures can provide a more complete understanding of our business, but they should not be relied upon to the exclusion of GAAP reports. A GAAP to non-GAAP reconciliation is available in yesterday's press release and in our 10-K. With that, I'll turn the call over to Brent Guerisoli, our CEO. Brent?
Brent Guerisoli: Thanks, Kirk, and good morning, everyone. Before I say anything about our results, I want to take a moment to recognize the local leaders and teams across our organization whose commitment to our patients and residents makes everything we're going to share this morning possible. We are deeply grateful for the daily actions you take in support of our honorable mission to provide life-changing service to the people in your communities. It is your dedication that defines who we are as a company. 2025 was an exceptional year for Pennant. Our fourth quarter adjusted earnings per share of $0.34 contributed to full year 2025 adjusted earnings per share of $1.18, exceeding the midpoint of our updated annual guidance of $1.16. Our full year consolidated results include revenue of $947.7 million, an increase of $252.5 million or 36.3%, adjusted EBITDA of $72.5 million, an increase of $19.2 million or 36% and adjusted EBITDA prior to NCI of $76.7 million, an improvement of $21.6 million or 39.2% each over the prior year. In short, we met or exceeded the midpoint of our updated guidance across the board. From day 1, 2025 was a year of growth. On January 1, we completed our acquisition of Signature Healthcare at Home in the Pacific Northwest and quickly integrated them into our unique operating model, dramatically improving their performance throughout the year. In October, we expanded eastward with the largest acquisition in our history, the purchase of over 50 locations from UnitedHealth and Amedisys, adding meaningful reach in the Southeast. We also opportunistically acquired operations and real estate assets in our Senior Living segment. During this time of rapid growth, we drove progress in our same-store operations in both segments and added key leaders in the field and the service center who accelerated our results in 2025 and have positioned us for future success. Our 5 key focus areas remain the guiding principles that informed our efforts: leadership development, clinical excellence, employee experience, margin improvement and growth. We continue to make progress across each of these areas in 2025. On the leadership front, we added more than 100 leaders to our CEO and training program this year. Talented individuals whose skills and entrepreneurial energy will help us unlock additional value in our new and maturing operations. In addition, we elevated another 39 leaders to C-level status within their local operations. We have consistently said that great results begin with great people. As we invest in the right leaders and give them the tools to succeed, we become the employer and provider of choice in our communities, and the results we're reporting today are proof. Now following a year of tremendous growth, while we remain open to selective and opportunistic acquisitions, we are intensely focused on optimizing performance and driving operational excellence. We must and we will deliver exceptional integrations of our newly acquired operations. The transition of former Amedisys and UnitedHealth agencies in Tennessee, Georgia and Alabama is well underway, and we see enormous potential in these locations. Even as we integrate these new assets, we intend to drive growth and improvement in the mature operations across our portfolio as we have year after year. That focus on operational excellence includes not only top line growth, but corresponding bottom line improvement and clinical outperformance. Every one of our local teams is committed to delivering more value in 2026 while maintaining exceptional outcomes for patients and employees. We also intend to continue the upward trajectory of our senior living business. Since the pandemic, we have seen occupancy, revenue and adjusted EBITDA climb consistently and significantly. There is still substantial opportunity to unlock in our senior living portfolio. And as we continue to add operations and accelerate our flywheel of operational excellence, the growth potential ahead is compelling. Turning to 2026 guidance. As announced in our press release yesterday, we are providing full year guidance of revenue in the range of $1.13 billion to $1.17 billion, a 22.4% increase at the midpoint; adjusted EBITDA of $88.5 million to $94.1 million, a 26% increase at the midpoint; adjusted EBITDA prior to NCI of $94.2 million to $100 million, a 26.7% increase at the midpoint and adjusted earnings per share in the range of $1.26 to $1.36 with a midpoint of $1.31. Our guidance reflects the readiness of our local leaders, the strength in both of our segments and the significant upside we expect to continue to unlock in our existing operations, both in the mature portfolio and the newly acquired locations. This guidance is annual, not quarterly. And like prior years, it reflects an anticipated ramp throughout the year, particularly as we transition a significant number of recently acquired operations in the first half. With that, I'll turn the call over to John to provide more detail on our fourth quarter operational results. John?
John Gochnour: Thank you, Brent, and good morning, everyone. Q4 was a strong finish to an exceptional year, and I'm excited to take you through the key operational metrics, highlighting our progress across both segments. In our Home Health And Hospice segment, revenue for the quarter of $233.3 million increased $91.3 million or 64.3%, while adjusted EBITDA of $33.7 million increased $12.4 million or 58.2% each over the prior year quarter. On the home health side, we saw our growth flywheel turn rapidly as we mix strong organic growth with our newly acquired agencies throughout the Southeast. Fourth quarter admissions surged 81.3% and Medicare admissions grew 87.5% each over the prior year quarter. While quarter-over-quarter admission growth is impacted by our acquisition of the United and Amedisys assets, I would highlight the quality of the underlying organic growth. Same-store Medicare admissions grew 8.2%, along with a 3.7% increase in Medicare revenue per episode each over the prior year quarter. This strong organic improvement is attributable to our clinical excellence and the entrepreneurial ownership our local leaders bring to their operations each day. Our average CMS star rating rose to 4.2 and compares favorably to the national average of 3.0, and that quality advantage is driving real results. Under CMS' home health value-based purchasing program, the vast majority of the agencies that we owned in the 2023 measurement period received positive revenue adjustments in 2025. The combination of admission strength, same-store growth and clinical quality gives us high confidence in the underlying trajectory of our business even in a reimbursement environment that continues to present headwinds. Our local leaders know how to pull the right levers. On the hospice side, we saw steady and consistent growth. Our CMS reported hospice quality composite score of 97.5% helped drive all-time highs in average daily census, which grew to 5,060, a 46.9% increase over the prior year quarter. As in home health, our acquisition growth was complemented by exceptionally strong growth in our same-store results, where average daily census increased 8.4%, admissions increased 6.6% and hospice Medicare revenue per day increased 5.9% each over the prior year quarter. The continued progress of our senior living business also should not be overlooked. With a stable and driven group of experienced leaders in that segment, we have seen substantially all metrics moving in the right direction, rate, same-store occupancy, revenue, margin and adjusted EBITDA. Full year Senior Living segment revenue improved to $215 million, an increase of $39.2 million or 22.3% over the prior year. Fourth quarter revenue of $56.1 million increased $9.2 million or 19.6% over the prior year. Fourth quarter Senior Living segment adjusted EBITDA improved to $6.1 million, an increase of $1.9 million or 46% over the prior year quarter. All store occupancy rose 200 basis points to 80.6%, even as revenue per occupied room increased 5.6% each over the prior year quarter. Same-store occupancy, which more accurately reflects the underlying operational improvement, grew 250 basis points compared to the prior year period, ending the year at 82.1%. The health of our senior living operations is enabling us to take advantage of a favorable growth environment. Turning to our integration efforts. As Brent noted, we are diligently engaged in the transition and integration of the former Amedisys and UnitedHealth operations we acquired in October 2025. We are transitioning the locations in waves and expect to complete all waves by October 2026. As we've noted before, any transition of this scale will have initial choppiness in early results, which our guidance anticipates. As we complete the system and branding transitions and fully implement our operating model, we expect to achieve operational efficiencies and strong clinical outcomes, similar to the prompt improvement we experienced in our recent Signature acquisition. What I would tell you is that the transition is progressing well. The reception we've had in the Southeast has been encouraging. We inherited and have already attracted additional talented leaders in the field and in our new Nashville service center, and these teams are genuinely eager to harness Pennant's locally driven model. These new operations have joined clusters with seasoned and successful Pennant operations. And so the building blocks of peer accountability that make our model work are in place. We remain very bullish on the long-term potential of these operations and the regional expansion they will enable. On the growth front, we continue to see strong deal flow. We are always disciplined in our approach, but we will be even more selective on the home health and hospice front in the first half of 2026 as we focus on ensuring our recently acquired operations are on firm footing. On the senior living side, our reputation as a high-quality operator and our working relationships with REITs and sellers continue to generate compelling opportunities, often through triple net leases with minimal capital outlay. We will remain disciplined and opportunistic as we screen for attractive deals in areas of strength where we have leaders prepared to step in. We expect a steady pipeline of such opportunities throughout 2026. In Q4, we completed 2 senior living acquisitions. On November 1, Pennant acquired the operations and real property of a 55-bed assisted living community in Lewiston, Idaho, now known as Twin Rivers Senior Living. This community reinforces our strategic commitment to expanding high-quality senior care across Idaho. Lewiston has long been a high-performing market for Pennant's home health and hospice operations, and we're excited to strengthen the continuum of care in that market. On November 4, we completed the acquisition of the real estate related to Honey Creek Heights Senior Living in West Dallas, Wisconsin, following our earlier operational acquisition on January 1, 2025. This community adds 135 assisted living beds to our growing Midwest portfolio and demonstrates the value we can create through real estate ownership as we acquire and improve underperforming operations. With that, I'll hand it over to Lynette for a review of the financials. Lynette?
Lynette Walbom: Thank you, John, and good morning, everyone. Detailed financial results for the full year ended December 31, 2025, are contained in our 10-K and press release. We reported total GAAP revenue of $947.7 million, adjusted EBITDA of $72.5 million and adjusted diluted earnings per share of $1.18. In each case, we met or exceeded the midpoint of our guidance, which we raised in November. As a note, the full year adjusted EBITDA of $72.5 million reflects both organic improvements across our mature portfolio and the contribution of acquired operations, including the October close of the UnitedHealth transaction. Our balance sheet remains strong. In Q4, we expanded our credit facility with the addition of a $100 million term loan, bringing our total facility to $350 million. We invested $147.2 million in the UnitedHealth acquisition in October, and we now have a net debt to adjusted EBITDA ratio of 1.7x, well under our covenant limit of 3.25x. We are in a comfortable leverage position with ample capacity for additional investments when we are prepared to make them. Our cash flows continue to be robust. In Q4, we generated $21 million of cash flows from operations, bringing our year-to-date total to $48.3 million. We had $17 million of cash on hand at year-end. We expect cash flow from operations in 2026 to reflect organic revenue growth and continued bottom line improvement. With robust earnings and effective cash collections, we expect to fund future growth and pay down outstanding debt from prior acquisitions throughout the year. Turning to 2026 guidance. As announced in our press release yesterday, we are providing full year guidance of revenue of $1.13 billion to $1.17 billion, adjusted EBITDA of $88.5 million to $94.1 million, adjusted EBITDA prior to NCI of $94.2 million to $100 million and adjusted earnings per share of $1.26 to $1.36. It incorporates current operations and organic growth, diluted weighted average shares outstanding of approximately 37 million and a 26% effective tax rate. The guidance also anticipates EPS growth quarter-over-quarter, reflecting the ramp Brent described. It is based on ongoing integration efforts across over 50 recently acquired locations and expected ramp in home health and hospice ADC, continued occupancy and rate increases in senior living and the anticipated hospice reimbursement rate adjustments. It excludes unannounced acquisitions and start-up operations, share-based compensation, acquisition-related costs, certain transition service agreement costs and onetime implementation and unusual items. And with that, I'll hand it back to Brent.
Brent Guerisoli: Thanks, Lynette. It's my pleasure to spotlight a few leaders in our organization who have set a standard of excellence in 2025. Their results are not an accident. They are the direct product of strong local leadership, peer accountability and a relentless commitment to serving their patients and residents. This is what our model looks like in practice. Future Chief Executive Officer, [ Eric Wise ]; and Chief Clinical Officer, [ Tracy Repco ], have built something remarkable at Columbia River Home Health in Kennewick, Washington. It begins, as it always does, with people. [ Eric, Tracy ] and their team have created a genuinely great place to work, evidenced by a nearly 90% employee favorability score and clinical turnover under 10%. Engaged teams deliver strong clinical results, and Columbia River is no exception. They have earned a real-time CMS star rating of 4.5 and potentially preventable hospitalizations of 6.2% compared to a national average of 10.8%. And the financial results have followed. Columbia River's revenue grew 43% and EBITDA grew 60% year-over-year. Columbia River's clinical and financial excellence demonstrates the power of our model to create industry-leading clinical outcomes while also generating strong financial returns. At Table Rock Senior Living at Paramount in Meridian, Idaho, future CEO, [ Heath Braberman ]; and future CCO, [ Lindsay Zawatsky ], have created a community defined by an exceptional team and the genuine care they provide each day to their residents. Acquired by Pennant in May 2024, Table Rock at Paramount is the kind of opportunity our model was built to unlock an underperforming operation in an area of organizational strength with prepared leaders in a community that needed what we have to offer. In just 1.5 years, the community has grown from a starting occupancy of 76% to now well over 90%. Employee engagement scores have increased by 15% and clinical metrics have seen dramatic improvements across the board. This has led to material financial improvement. Revenue increased by 27%, revenue per occupied room increased 12% and EBITDA improved 236% each over the prior year quarter. In part due to the success of Table Rock, our Idaho leaders continue to build an impressive collection of exemplary operations, and they are actively pursuing additional growth in the region. With that, we'll open it up for questions. Lisa, can you please instruct the audience on the Q&A procedure?
Operator: [Operator Instructions] The first question will be coming from the line of Brian Tanquilut of Jefferies.
Brian Tanquilut: Maybe I'll start first with the guidance. Lynette, as I think about the guidance here, it looks pretty conservative. So am I right in just thinking that given the different moving pieces with the AMAD-LHCG integration that you've taken a much more conservative approach to guidance set. Is that the right way to think through this?
Lynette Walbom: Yes, that's definitely the right way to think about this. When we look at it, when -- we will have some initial noise as we're transitioning those operations from United and Amedisys, and that transition will occur over the first 3 quarters. And so there will be a time that as we're transitioning both our operating systems, so HCHB and also doing the name changes, all those pieces will cause some noise there. We also have operations that are supporting them from across the country. So while we continue those operations to still have strong growth, there will be some additional support that's being provided there. And so I think that's another factor that we wanted to continue to build into this guidance, and we can update as needed as we go throughout the year.
Brian Tanquilut: Okay. That makes sense. And then one of the things that we've noticed with the acquired assets is the joint venture strategy that's embedded there. I guess it's legacy LHCG and one of the examples is the University of Tennessee JV. How do I think about, number one, the performance of the JVs relative to non-JV agencies? And then the other side of it is, how do you think about the strategy or strategizing around joint ventures going forward, given what you're learning from that asset?
John Gochnour: Yes, Brian, this is John. That's a great question. I think as we look at our joint venture operations, and we have several of these opportunities across the country, we treat them like any Pennant business, which means that we have exceptionally local leaders who collaborate directly with their health system partners to deliver exceptional clinical outcomes and great financial outcomes to that community. And so what is -- what was really exciting and part of the reason why we were so excited about this deal was the UT JV. It's an exceptional health system that services communities across Northeastern Tennessee. And I think as we've gotten in there, that's exactly what we found. We found a great health system partner who wants to ensure great clinical outcomes for their patients, who wants us to take our great clinical outcomes and service a broader community, bringing patients into a continuum of care. And that's what's special about these partnerships. It gives us an opportunity with a premier acute partner to collaborate, to share data, to share information to ensure the seamless processing of transitions of care to make sure that the patient experience is top notch. And that's what we're experiencing in California in our joint ventures. It's what we're experiencing in Tennessee. And so I think on a go-forward basis, working with acute care partners is part of our strategy. It won't displace our core strategy, which is to create -- our mission is to create life-changing opportunities for local leaders, and that will include both joint venture opportunities where we'll work with acute system partners, but also opportunities to acquire independent agencies and continue the strategy that we've operated under for the last 10 years.
Operator: Our next question is coming from the line of Ben Hendrix of RBC Capital Markets.
Benjamin Hendrix: Just wanted to ask a question on the Amedisys/UNH asset ramp-up. Just wanted to see if you could help us compare and contrast a little bit kind of what you saw with Signature versus kind of what you're seeing in this Tennessee portfolio. What might work better, what might lag a little bit versus Signature and kind of what lessons learned you can apply that's given you confidence in the time line there?
Brent Guerisoli: Yes. There are a lot of similarities. First and foremost, there's a lot of great leaders in operations there. Certainly, there's a mix of really strong operations and some that need to turn. But in general, we've been really pleased with the leaders that are there and the teams that have been in place as well. Also other similarities, they've been on Homecare Homebase. And so even though there is noise in the transition from different instances, that does help to facilitate the transition a little bit better. I also think we've learned a lot from our time last year and the end of 2024 transitioning Signature. There was a lot of learning. And that's why we had a ton of confidence going into this deal. The other thing I would say, and you probably remember from our conversations last year around this time when we talked about transitioning Signature that we likely wouldn't be doing any major acquisitions in 2025 as a result of the integration. And what we found was as our leaders jumped in, as we helped to develop and elevate the leader -- the local leaders that were already in place and then add additional leaders from our CIT pipeline that -- those transitions went a lot more quickly than we initially anticipated. And so we look at that, and therefore, we put ourselves in a position at the end of 2025 to be able to do this larger acquisition with the Amedisys and United operations. And so we're approaching 2026 in the same way with conservatism, recognizing that this is still larger in terms of size, in terms of operations. And there are multiple waves that go into place there. There's also the transition services agreement that is a unique element of this particular deal. And then we're also transitioning other support services as well. And so there are nuances that are different, but we feel confident in our local leaders. We feel confident in the teams that are already in place. We feel confident in the bench of CITs and other leaders that we brought in and the support across the entire organization to be able to transition well. So we remain optimistic. The other thing I would just end with is 2026 is going to be a year of transition, but we wholeheartedly believe that we should be pretty well optimized by the end of the year and going into 2027. And so our normal sort of rate of return and expectations around performance, we anticipate in the coming years. So overall, we're really excited about the progress that's already been made, but really knee-deep in all of the implementation and integration that's taking place right now.
Benjamin Hendrix: Great. And just one quick question, if I may. Was the Columbia River discussion that Brent offered, was that part of the Signature group of assets that came over?
John Gochnour: So yes, thank you, Ben. It was not part of those assets. We've actually operated that operation for, I think, 7 years. It's been a great operation. We acquired it from a health system, and we have been operating in that Tri-City community that it's a great story because it shows the efficacy of our model. Those local leaders have expanded relationships in that community. They've grown revenue tremendously. They've grown bottom line tremendously. And that's not a 1-year story. That's a 7-year story from taking it over as a very small agency that was purchased from a bankrupt health system to being a true asset to the community. They've just year-over-year grown consistently. And so we were excited to honor them today.
Brent Guerisoli: I would also just add a key point here. [ Eric and Tracy ] and that team have, however, been involved in the transition of the Signature operations, its cluster partners and its market partners. And so it shows that even in the midst of support outside of their agencies, they're able to perform well in their local operations. And so that's just another takeaway from that experience. That's the way that we operate. Our local teams go and support each other. And there are -- sometimes what happens is there's learning that happens in existing operations that kind of motivate change and to do things differently. And that's something that we experienced at Columbia River as well. So it helps to give us additional confidence as we're transitioning in the Southeast.
Operator: Our next question is coming from the line of Stephen Baxter of Wells Fargo.
Stephen Baxter: I just wanted to follow up on the guidance. Obviously, you've given us the expected contribution from the deal assets, which is very helpful so we can think about the year-over-year and kind of what that adds. As we kind of think about the rest of the home health and hospice, maybe on a framing of like a same-store basis, could you give us a sense of what kind of same-store revenue growth you're embedding in the model or in the guidance for 2026? And then as we think about your ability to grow same-store EBITDA or EBITDAR given the rate conditions you'll have in home health for 2026, would love just more insight into kind of how you're thinking about the ability to kind of grow the same-store earnings base with that rate in place.
Lynette Walbom: Yes. Thanks, Stephen. So when we're talking about same-store home health and hospice growth for 2026, we've built into the model about a 7% increase in home health and hospice revenue in the 2026 model. And then when we're talking about EBITDA expansion, yes, we do have the impacts of the home health rule, which will make softness in the revenue side. But as we discussed last year, we put together plans last year to really make sure that while we might have a rate decrease at that point, was looking at 6.5% essentially, what were the things that we could do to still have margin expansion or to maintain margin at that higher 6.5%. And so those initiatives are still pushing forward the ones that make sense for us to do at a 1.3% rate decrease. So as we look at that, we expect to still have margin expansion a few basis points to get us to, again, having some margin expansion in 2026.
Stephen Baxter: Got it. That's great. And then I would love to just hear a little bit kind of continuing on the guidance theme, just how you guys are thinking about the margin opportunity in senior living. And then just as we kind of look at the corporate line, like obviously, the corporate lines kind of had a decent amount of growth as you've done acquisitions in the past couple of years. I would love just a sense of how to think about modeling growth in corporate expenses maybe over the next year or 2.
Lynette Walbom: Yes. As we're looking at G&A, we've modeled in roughly a 3.4% -- or sorry, it's not 3.4%, 6.4% to 6.5% of revenue for G&A for 2026. And then on the senior living front, we're looking at, again, revenue when we look at the revenue components. So an occupancy rate -- or an occupancy increase of about 100 basis points over the year. And then on the rate side, roughly having RevPOR increases similar to this past year at about 6%.
Operator: And our next question is coming from the line of David MacDonald of Truist Securities.
David MacDonald: Guys, more of a strategic question. If we look back a couple of years, your scaled competitors were -- are now basically captives. So I'm just curious, can you spend a minute on just what you think the incremental opportunity you're afforded now given what the competitive dynamic looks like across some of the home health and hospice competitors?
John Gochnour: Yes, Dave, it's a really fair question. And I think one of the things that we -- I would highlight is the acquisition of some of our peers by payers, in particular, reflects the value that home health care, in particular and hospice care in addition reflects in the continuum of care. And so I think one of the key things to highlight is we are adding tremendous value. The efforts by our home health partners and hospice partners, they keep people out of the hospital. They allow people to receive care in their homes, which is the lowest cost setting. And so when you look at the competitive dynamics, they've certainly changed, but it hasn't changed our modus operandi. Our focus is our belief that health care is a local business. It's a belief that there's going to be nuanced needs from -- for patients, employees and referral partners in every community that we serve. And so our focus is really on how do we develop a local leadership team that can respond to those needs in the most effective way that can be most responsive to community partners that can deliver the best clinical outcomes for our patients. And I think that's why you continue to see such strong organic growth quarter after quarter and year-over-year. And so when you look at the dynamics of potentially some of our largest competitors being part of a specific health care payer, that gives us an opportunity to position ourselves as the premier independent provider of these services. And we feel like that argument is compelling. It gives us an opportunity to negotiate with payers across the board, letting them make the decision based on exceptional clinical outcome and not the fact that we may be affiliated with a different payer. And so we think there's opportunity from a contract negotiation place. We feel like our clinical outcomes set us apart at the local level, at the national level. And then I think that is what drives the sustainable financial results and outperformance from a growth perspective that you're seeing right now. So we're excited about the future. Obviously, we feel like these services add tremendous value. It gives us an opportunity to work with our industry partners from a regulatory perspective to really push on the narrative around that value and make sure it's reflected in Medicare reimbursement and really accelerate our business as we go forward.
David MacDonald: And then, guys, just one other quick follow-up just in terms of potential share gain. I mean when we look at the captives, all of those companies had a very heavy footprint east of the Mississippi. And now that you guys -- as your footprint kind of further expands, a, can you talk about share gain opportunity, especially in some of your new markets? And then b, I know that you've talked about a little bit of a pause as you integrate in terms of M&A, but with a high-profile transaction like the United-AMED deal, can you just talk about incomings and what you've seen in terms of a potential uptick in the pipeline even if you're going to wait a bit to execute on some of that?
Brent Guerisoli: Yes. Dave, one thing I would say, part of the strategy or the rationale for going into Tennessee, in particular, was just the talent base that's there and the ability to build a service center and a location in the Southeast to be able to expand. So that was part of the calculus. Obviously, we need to integrate the operations, but we anticipate that the Southeast will become an area of strength for us and that we can grow significantly there. And we've seen it already as we've incorporated these operations. We've had a significant number of folks that we've been able to add to the team, others that have reached out to us. And there's ample opportunity for us to grow. And so we're excited about the potential that allows us to have. And certainly, as we look forward right now, we've put a little bit of a pause on the large growth. We'll do tuck-in acquisition opportunities. It actually doesn't change our approach on the senior living side. And we've got -- there's always opportunities in the pipeline there. But on the home health and hospice side, there has been plenty of outreach as well. There's much more recognition. I think as you expand into different geographies, certainly, it opens up the door for more opportunities to expand as well. And so assuming that we transition the way that we expect to, that we're looking forward to really doing the integration, but then seeking significant expansion opportunities going forward as well.
John Gochnour: And David, on the market share question, we do think that the Southeast is different than where we operate in the West in part because there has been so much consolidation. And we believe that gives us a unique opportunity to set ourselves apart because of our local operating model. And so where there's -- all of the competitors are national in scope and scale, we think that gives us a competitive advantage because of our unique locally driven focus. And so that there is an opportunity to gain market share over where this business was when we acquired it. And that's part of the compelling growth opportunity that we see just in these assets, but also as we expand in the Southeast. So thanks for the question.
Operator: And the next question is coming from the line of Raj Kumar of Stephens.
Raj Kumar: Maybe just following up on the kind of senior living kind of 100 bps occupancy improvement and mid-single-digit kind of RevPOR baked into '26 guide. I guess what's the kind of underlying cost assumption as we kind of parse out kind of incremental margin improvement in the kind of Senior Living segment? And then historically, I believe you kind of called out a kind of operating income margin in the kind of mid-teens for this segment. And now you're kind of in the double-digit range. So as we kind of think about that opportunity, what does that kind of look like from an occupancy standpoint as we kind of think about the long-term trajectory of the senior living business?
Lynette Walbom: Yes. Thanks, Raj. When we're talking about the 1% increase in occupancy over the year, what that will allow us to do, again, is those operations where we've kind of achieved that breakeven of where we're able to drop more to the bottom line from a rent -- we've covered our rent hurdle. We look at that as being about 30% of that can flow down through the bottom line to get us to higher and more adjusted EBITDA. So that would be the math on that one.
Brent Guerisoli: Yes. I mean just to provide a little more color, Raj, we've -- that 100 bps increase really calculates at our current incremental operational -- operating margin just a little under $1 million in value for every 100 basis point increase. And so obviously, there is expansion in that. So if that margin increases a little bit, then that opportunity increases a little bit as well. But hopefully, that gives you a little bit more just clarity on the kind of incremental increase on the occupancy front.
Raj Kumar: Got it. And then maybe just a couple of quick ones from a modeling perspective. Just kind of any kind of goalposts around operating cash flow. And then as we think about kind of CapEx from the kind of deal integration, any framing around that would be helpful.
Lynette Walbom: Yes. From an operating cash flow perspective for the year, we're looking at between $45 million and $55 million. I think we will have some noise that comes in there from cash collections as we're starting to transition those operations and working under a TSA that we've built into that number. And then from a CapEx perspective, we are forecasting roughly $15 million in CapEx spend in 2026. Some of that increase is due to some of the buildings that we've acquired that needed a little more CapEx spend to get them to where we want them to be from a property standpoint.
Operator: And our next question is coming from the line of Jared Haase of William Blair & Company.
Jared Haase: Maybe I'll ask another one about 2026 and try and take a slightly different angle. But when you think about the moving parts this year with the transition and some of the incremental costs that are sort of absorbed in 2026 and kind of having this mindset of targeting, having most of the optimization efforts completed by year-end, I'm wondering if there's sort of a way to frame what the exit run rate for EBITDA could look like by year-end relative to what you're actually guiding to. Obviously, not to get too far ahead of things, but just think it might be helpful to sort of frame what the jumping off point could look like for 2027.
Brent Guerisoli: Yes. Well, I will just jump in. I mean our goal, we talk about -- I mean, our current rate is between 15% and 16%. And so that would sort of be kind of a target natural place to get to is to sort of where we currently are running. And then our optimal level is around 18% is what we've talked about. And so that might be aggressive to get there by the end of the year. However, we're going to push toward that number. But that kind of gives you an idea of the potential upside there if we can drive to kind of our current operational levels.
Jared Haase: Got it. That's helpful. And then as my follow-up, I would like to drill into the hospice segment. I'm curious what the competitive backdrop is like these days. Obviously, you guys continue to put up really strong organic growth, strong ADC growth on a same agency basis. It seems like others in the market are experiencing strong organic growth trends as well. So just kind of curious to hear your perspective on the competitive dynamics in that business.
John Gochnour: I think you've seen a normalization, right? We went through an acceleration at the beginning of the pandemic. We went through a deceleration after the pandemic ended because of the sort of pull forward that happened because we lost so many lives that would have otherwise received more extended hospice care during the pandemic. And so I think you've now sort of -- you're starting to see the beginning of what for years has been sort of called the silver wave, where that generation of Americans are average -- the average age of our hospice patient is 83 years old. So you go back 83 years and what was happening, it was 1944 and the war was ending and you start to see the beginning of that baby boomer generation. And so it's -- there is in part -- I think people were anticipating the silver wave beginning. But during the war, there was a downturn in birth. And so now we're getting to the other side of that. And you look at and say, okay, going forward, we've got some real opportunity to care for people at this most important stage of their life when they need medical help and they need an interdisciplinary team that can provide everything from psychosocial to medical director care. And that, I think, is why we feel so blessed to be in the hospice business and have the opportunity to serve and care for these patients. But I think that is part of the backdrop. I think you also see not everyone is doing -- is seeing that kind of growth. I think what you're seeing is folks who have an ability to meet the needs of their local communities, those are the folks who are doing well. And I think that is highlighted by our over 8% quarter-over-quarter same-store growth, highlighted by our 7.5% year-over-year same-store growth that just shows that across our platform, our teams are doing a great job of meeting the needs of their communities, and that's giving them an opportunity to care for this silver wave of aging patients that desperately need this care to improve their quality of life during that last stage of life.
Operator: And this does conclude today's Q&A session. I would now like to turn the call back over to Brent Guerisoli, CEO, for closing remarks. Please go ahead.
Brent Guerisoli: Thank you, Lisa, and thank you, everyone, for joining us today. Have a great day.
Operator: This concludes today's program for today. You may all disconnect.